Operator: Welcome, everyone, to UMC's 2020 First Quarter Earnings Conference Call. All lines have been placed in mute to prevent background noise. After the presentation there will be a question-and-answer session. Please follow the instructions given at that time, if you would like to ask a question. For your information, this conference call is now being broadcasted live over the Internet. Webcast replay will be available within an hour after the conference is finished. Please visit our website, www.umc.com, under the Investor Relations, Investors, Events section.And now, I would like to introduce Mr. Michael Lin, Head of Investor Relations at UMC. Mr. Lin, please begin.
Michael Lin: Thank you, and welcome to the UMC's conference call for the first quarter of 2020. I'm joined by Mr. SC Chien the Co-President of UMC; and Mr. Chitung Liu, the CFO of UMC. In a moment, we will hear our CFO present the first quarter financial results, followed by our President's key message to address UMC's focus and the second quarter 2020 guidance.Once our President and the CFO complete their remarks, there will be a Q&A session. UMC's quarterly financial reports are available at our website www.umc.com, under the Investors, Financials section.During this conference, we will make forward-looking statements based on the management's current expectation and beliefs. These forward-looking statements are subject to a number of risks and uncertainties that would cause actual results to differ materially, including the risk that may be beyond company's control. For this risk, please refer to UMC's filing with the SEC in the U.S. and the ROC [ph] security authorities.Now I would like to introduce UMC's CFO, Mr. Chitung Liu, to discuss our first quarter 2020 financial results.
Chitung Liu: Thank you, Michael. I would like to go through the first quarter 2020 investor conference presentation material which can be downloaded from our website. Starting on Page 3, the first quarter of 2020 consolidated revenue was NT$42.27 billion, with our gross margin at around 19.2%. The net income attributable to the stockholder of the parent was NT$2.21 billion and the earnings per ordinary shares was NT$0.19. Our capacity utilization rate in the first quarter was 93% versus 92% in the previous quarter and 83% in the same first quarter of 2019.Page 4, as we discussed earlier, sequential growth is about 1% to NT$42.2 billion for operating revenue. Gross margin almost quadrupled, sorry almost reached around 19.2% of gross margin rate or NT$8.1 billion and operating income is NT$3.4 billion or 8.1% operating income percentage. Because of the global stock market meltdown, we booked realized mark-to-market investment loss nearly NT$2 [ph] billion in the first quarter of 2020 which resulted in about NT$2.59 billion of net non-operating losses. And as a result our net income attributable to stockholder of the parent in the first quarter of 2020 was NT$2.2 billion or an equivalent of NT$0.19 in EPS.On Page 5 for year-over-year comparisons our revenue grew up by nearly 70%ph to NT$42.6% from the same period of last year and gross margin almost quadrupled here to NT$8.1 billion compared to NT$2.26 in the first quarter of 2019. Operating expenses has increased about 15% largely due to the combination of USJC which we acquired October 1 last year. And net earnings is 0.19 versus 0.1 in the same quarter of last year.So Page 6, our cash on hand has reached NT$95 billion and total equity for the company is about NT$210 billion. On Page 7, our quarterly ASP is down a little bit in the first quarter by low single digits.Next page for revenue breakdown by geography, Asia represents 56% of our total revenue while U.S. is about 29%. For IDM remained now almost unchanged around 12% versus the last quarter of 13%. And communication remained at 54% of the pie which is the largest share of our application breakdown.For technology breakdown, 40 nanometer grew to 25% from the 22% in the previous quarter and 28 nanometer represented about 9% of the revenue which is mainly because of our larger revenue base. First quarter quite a few schedule effect maintenance. So there is not much growth in the capacity, but the growth of capacity will be more significant in the – while it is not very significant but will be noticeable in the second quarter and mainly coming from fab8N or [indiscernible] some incremental increase in 12A.Our CapEx remained unchanged at US$1 billion. About 85% of the capacity expansion related CapEx goes to 12 inch. So the above is a summary of UMC's results for first quarter of 2020. More details are available in the report which has been posted on our website.I will now turn the call over to President of UMC, Mr. SC Chien.
SC Chien: Yes, thank you Chitung. Good evening everyone. Here I would like to update the first quarter operating result of UMC. In the first quarter foundry revenue grew 1.0% Q-over-Q to NT$42.27 billion leading to a foundry operating margin of 8.2%. Utilization rate increased slightly to 93% bringing wafer shipments to NT$2.15 million, 8-inch equivalent wafers primarily attributed to display driver demands in consumer and the communication devices.The demand in consumer IC partially reflected work from home initiative adopted in many areas around the world to combat the spread of COVID-19. As the pandemic continues to impact population across the globe UMC has given already to manufacturing of medical related IC so that hospitals and the care centers receive the equipment they need in the shortest time possible in order to deal with coronavirus.We will continue to commit our resources within our means to accelerate the shipments of healthcare related IC in the universal fight against COVID-19. Looking into the second quarter of 2020, despite significantly highly levels of uncertainty caused by the COVID-19 pandemic, current outlook indicates slightly higher wafer demand, mainly supported by inventory replacement across computer peripheral and the consumer electronics end markets. We will continue to monitor market dynamics.Meanwhile we anticipate a surge in the number of customers 28 nanometer tape outs in the first half of 2020. While we strive to maintain the business momentum attained in the first quarter UMC's corporate strategy of delivering high dividend payout ratio remains intact. In Q1 our Board of Directors proposed to distribute cash dividend of approximately NT$0.75 per share subject to shareholder approval at the Annual Shareholder Meeting. We will also continue to strengthen our financial structure while gaining additional market share by excluding our technology development and the corporate strategy.As the world navigates the COVID-19 situation UMC is committed to the philosophy of employee care, environmental focus and public service while following sustainable development and the corporate social responsibility. We will confront this challenge together with our employees, shareholders and our suppliers. We also deeply appreciate the efforts of all the frontline professionals concerned in this pandemic and we have continued to support our communities in Taiwan and abroad.Let's move on to second quarter 2020 guidance. Our wafer shipments were increased by 1% to 2%. ASP in U.S. dollar is expected to increase by 1% to 2%. The gross profit margin will be approximately 20%. The capacity utilization rate will be in the mid 90% range. Our 2020 CapEx margins will be U.S. $1 billion.That concludes my comments. Thank you all for your attention. Now we are ready for questions.
Operator: Thank you, President Chien. [Operator Instructions] And the first question is coming from Randy Abrams of Credit Suisse. Go ahead please.
Randy Abrams: Okay, yes, thank you, good afternoon and good job on the results and margins. If I could ask a first question on your 2020 outlook it looks like based on the guidance for Q2 you can get to mid teens growth for the year with flat third and fourth quarter, could you give updated view if you still expect to have that type of growth for the year or if you expect any inventory correction in the second half? And if you could also elaborate through the last few weeks of April, how have the customer order trends tracked just over the last few weeks?
Chitung Liu: I'd say may be we will start it with updated view on the semi inventory. After the COVID-19 we do expect to see mid single digit decline of the global semiconductor market. However, for various reasons we still expect to see foundry segment to grow by about low single digits. As for UMC under these updated big picture view, we expect to show meaningful growth over the foundry industry if you include our recently acquired USJC revenues. Even excluding USJC revenue we are still comfortable to say that we should be able to grow in line or even grow a little bit of the foundry segment. So that's our current view for UMC versus the industry under the new impact from the COVID-19.As for customers, we think the order cut is inevitable even though for the second quarter we still manage to be able to mitigate certain order adjustments. Our quarter two outlook is still stable. But for the second half, because of the mounting uncertainties, it is really difficult for us right now to pinpoint what is going to happen in the sector as well as for UMC's order trend. So all we can say is at quarter two we are somewhat intact, but order cancellation might be inevitable. We really cannot see through the second half yet.
Randy Abrams: Okay, thank you Chitung. I had a second question and you talked about the strong tape out activity continuing on 28s, could you discuss from this level how you expect 28 to scale as a percent of revenue through second half? And do you also see any sensitivity on timing for ramp up of these projects due to the macro, so some of the projects like the OLED, the ISP Wi-Fi 6 or PMIC, if you see any change factor in the macro or you still expect that to ramp?
Chitung Liu: Okay, I think for the 28 SC Chien mentioned things for the project still on track. We do not see any change from customer side yet, but based on this pandemic situation, there are some uncertainties there. But we still look at it in a positive way that so far progress is on track and probably could be some impact, but this and what we are talking about is more on the new application for another existing product line.
Randy Abrams: Okay, and how would [indiscernible] if they continue to track you feel would with that could grow as a percent of revenue if you see those ramping in the second half?
Chitung Liu: Okay, I think the contribution in second quarter 2020 is expected to increase. Okay, I think mainly because of higher demand in the second quarter especially for the 4G segment and also have higher MRA [ph] adoption rate. Okay, and also for the – and on the module, camera module same, continues to track great. For those middle and entry level modules that's what we see. So we still have some good expectation for that, yes.
SC Chien: And if I may add on that, we don’t really provide the percentage of revenue for any geography. However, I think our view that for the quarter one, should be the drop of 28 revenue in terms of percentage of total revenue.
Randy Abrams: Okay, thanks. And one last question for the gross margins and maybe for Chitung, on where you reported high teens and guidance of 20%. Is that purely a function of the better utilization and also better loading 40 or is there another improvement going on? And as 28 starts to grow as a percentage of sales, filling that capacity would that help the overall corporate margin expand a bit further or would it be a dilutive [ph]?
Chitung Liu: Yes certainly, the recovery of 28 nanometer business will certainly help our overall corporate gross margin as well as operating profit margins. And for second quarter we do expect the higher 12 inch loading especially in demand related to 28 nanometer will help to drive the gross margin expansion coupled with 8 inch capacity likely to run at full capacity utilization rate in the second quarter. And of course we continue to work on product mix enhancement as well as production cost reduction.
Randy Abrams: Okay, great. Thanks a lot Chitung and Jason [ph].
Chitung Liu: Thank you.
Operator: And next we have Rollie shu of Citygroup for questions. Good ahead please.
Roland Shu: Hi, good afternoon. First question I will ask about the - your blended ASP. So in the first quarter your blended ASP have declined slightly. If I have a look at - of your product mix for 90 nanometer and blow I think the percentage, the total revenue was the same as fourth Q and also you have a little bit lower contribution from 90 nanometer, but higher contribution from 40 nanometer. So explain on this kind of product mix change why you still see the ASP, blended ASP decline in first quarter?
Chitung Liu: First of all, the first quarter ASP declined by about 1%, so really a minor change. Secondly, the reasons I explained in the opening remarks, that is mainly because we had experienced more 12 inch revenue contribution than anything else. Of course you can say that there is not much cost for 28 nanometer segment, but we do expect that situation will change in the second quarter, so we are guiding for 1% to 2% to increase in the second quarter for ASP.
Roland Shu: Okay, so the second quarter ASP increase is mainly from the product mix change from more contribution from 12 inch?
Chitung Liu: That’s correct.
Roland Shu: Do you see any seasonal ASP erosion in the first quarter and the second quarter?
Chitung Liu: I think [indiscernible] was certain large long term customer, although right now for example for 8 inch wafers is nearly at full capacity as I mentioned. Right? So it is very unlikely we will see that eroding. I think for selective large long term 12 inch related especially higher [indiscernible] that's industry practice, common practice.
Roland Shu: Okay, thank you. And second question, I would like to see your view for this supply chain inventory, how do you think about this supply chain inventory level? And also for the customer side, do you think our customers are willing to take more inventory to ensure no supply chain disruption in the near term or customer actually is thinking opposite will turn more conservative for stop taking the inventory because of the demand weakening?
Chitung Liu: First of all, the customer order cut might be happening in the second half as we highlighted, although we don't really have a certain crystal ball to tell the magnitude. But based upon the impact of COVID-19 had on the end market, here's what we have observed. This actually differs -different by customer segment. Some customer in last year 2019 they have already experienced a weak year. We believe those customers, their inventory level even at the impact of COVID-19 is pretty lean.For some other customers who are actually concerned about capacity support, we do foresee inventory correction in the second half. Order cuts on those customers will be investing as before. However, the magnitude will be uncertain. And lastly we hope through our efforts in customer engagement the diversification of our product pipeline, increasing penetration in wireless segment will soften the correction.
Roland Shu: Understood. But for the technology nodes point of view, I think the last quarter, you expect something main 8-inch providing micron and below demand was strong and with the tight utilization. And this is also the same for 12-inch material node from 19 nanometer to 14 nanometer. So, you still think about the same view for the same for this technology nodes? Are the technology - the demand will be still strong and the capacity will be still tight through end of this year?
Chitung Liu: Yes, for second quarter we actually guide I mean [ph] and then that pressure is for capacity utilization rate, that is for 5G segment in the second quarter. So, everything is set for very leading edge, [indiscernible] related, it is almost for 8 in the second quarter.
Roland Shu: Understood. And lastly I would like to follow up Randy's question for the whole year gross point of view for UMC because I did not hear you clearly. So, can you repeat what your view for the foundry and UMC's growth outlook this year? Thank you.
Chitung Liu: The update for you for the semi [indiscernible] has declined by mid-single digit. The foundry can continue to grow at a lower rate around low single digit and UMC with the combination of USJC we should be able to comfortably beat the foundry market growth rate. Even without USJC we should be able to grow in line or slightly better than the global foundry market.
Roland Shu: Okay, thank you. Yes, I will. I'll go back to the queue for follow up questions. Thank you.
Operator: And the next one is coming from Bruce of Goldman Sachs. Go ahead, please.
Bruce Lu: Hi, good afternoon. I have a question about the gross margin and operating margins. So first of all, what's the key differences between guidance versus your deliver, which is gross margin at 19%? The revenue is pretty much in line, why the gross margin is so much higher, or at least at the very high end of the guidance.The second thing is that I'm so happy to see that operating expenses, especially for R&D expenses, declined quite a bit in first quarter 2020, almost down to 7.5% of total revenue. You really do expect why you know, this could be the new norm for the R&D expenses. So what is the key to drive the lower R&D expenses? That was my first question, thank you.
Chitung Liu: Well, first of all regarding gross margin between [indiscernible] and guidance is because we do have stronger quarter two outlook and wafer in the pipeline actually represent better wins, better loading. So overall the wafer shipment and also wafer being produced is higher than expected. So our - any cost is slightly lower than what we expected when we gave the first quarter guidance. So, but the actual number in Q1 was 93% versus original 90% guidance.
Bruce Lu: Does that mean that your order for second quarter is better than what you had like three months ago?
Chitung Liu: Exactly, the production pipeline, yes.
Bruce Lu: I see, I understand, thank you.
Chitung Liu: Right partially in the numbers I just gave you the actual loading was 93% versus guidance of 90%.
Bruce Lu: I see.
Chitung Liu: And of course we also tried pretty hard, for our President, that we continue to lower our manufacturing costs, so there is also some factor related to cost reduction efforts.
Bruce Lu: So what is now, is excluding that better outlook for second quarter what will be the new norm for the gross margin? I think that's the most important explanation we want to have for the investors?
Chitung Liu: Yes, there is really no answer for that. There's too many factors in combined to determine the gross margin, always. So all we can say is we will continue to drive our cost reduction effort and at the same time try to enhance product mix. Most importantly, we like to see a meaningful increase in our 28 nanometer capacity utilization rate. That for the time being is probably the single key factors to drive the upside of our overall gross margin.
Bruce Lu: Okay, thank you.
SC Chien: And the second question regarding your OpEx issue, so our OpEx in Q1 I think is a bit lower than normal in absolute dollar terms. However, we continue again, where we try to – our effort to bring down the operating expenses, but when we have better profit we also have to book higher employee bonus as a provision. So then that’s kind of dilemma to the overall operating expenses are one of the factors.Again we can say that the - are likely to increase as absolute dollar terms for OpEx. Hopefully through the increase of revenue we will continue to see the percentage of revenue for both in operating expenses and R&D can continue to come down gradually. I don’t want to give you a realistic expectation that this number will see further reduction or can stay at the current level for long time.
Bruce Lu: But the first quarter earnings is pretty good, do we incorporate employee bonus within the first quarter operating expenses already?
Chitung Liu: Already yes.
Bruce Lu: Still very good.
Chitung Liu: Thank you. We want to do better, yes.
Bruce Lu: Thanks, okay. The next question is for the 28 nanometer. I mean, management mentioned that the 28 – one of them is driven by 5G as well as some of the overflow pushes. So with recent correction in terms of like smartphone shipment or the penetration trend – penetration rate changes in terms of 5G smartphones in later part of this year, so you expect that will have any impact for your 28 nanometers revenue in second half?
SC Chien: Okay, I think we do expect the smartphone shipment will decline. Okay? We feel especially I think the second half. However, we hope that higher penetration rate in the wireless segment will help now to offset the macro impact to UMC.
Bruce Lu: I am sorry, I don’t quite get it. Do you mean that your revenue exposure to communication is higher, that’s why you can help – that’s why you can have some other revenues or?
SC Chien: What I am trying to say that we have higher penetration rate in wireless segment by new customer and our customer again in the market share it’s in smartphone wireless area.
Bruce Lu: I see, I see. I understand. So your current outlook for the second half in 28 nanometers remains unchanged compared to [indiscernible]?
SC Chien: I think we still have some uncertainty due to the COVID-19, but so far the data we have, yes that’s what I am trying to say, yes.
Bruce Lu: So for - your 28 nanometer capacity extension plans also remain unchanged?
SC Chien: Yes, currently based on our alignment with customers, with stay at home and see change of course we will continue to align with customers based on the COVID-19 situation, very dynamic change. Yes, we are aligned with customers. So far there is no change.
Bruce Lu: I see. Thank you, very good results, thank you.
SC Chien: Thank you.
Operator: And the next question is coming from Gokul Hariharan of JP Morgan. Go ahead please.
Gokul Hariharan: Yes hi, thanks for taking my questions. Couple of things, first of all, could you talk a little bit about what is your outlook for 8-inch capacity utilization and demand through the rest of the year, especially I think first half has been pretty tied [ph] with fully capacity?Second question, when you talk about potential for order cuts and inventory correction in the second half, could you give us some idea about which segments would you see the bigger cuts, which segment do you think is going to be more resilient for you – a bit more detail, I think especially given that you mentioned that you are gaining some share in the wireless, especially and you made some image camera rated components et cetera?And lastly a quick question on USJC fab status. I think the last time we checked I think it was kind of close to breakeven. What do you think is the status for the customers in USJC given that they have a lot of automotive, industrial kind of exposure, which seems to be a little bit weaker than the overall semiconductor industry, are you able to move some of your design wins into that fab already or that’s going to take some more time? Thanks.
SC Chien: I am going to answer the first one. I think the 8-inch – we expect 8-inch will operate at full utilization in the second quarter okay. And we also foresee that 8-inch utilization will remain poor okay, mainly driven by the solid demand of low power MCU and displays related requirement okay. And as for the USJC, the question is, how is the loading situation and do we transfer the new pipeline for that today yet?Okay, I think yes, we do have started to do the technology transfer, but that here may take one more quarter to gain some business. Okay? I think so far the profitability in the first quarter has improved most q-over-q. So we have already set up the profitability target based on the set condition and cost structure. I think so far the synergies already are seeing a good result. So I think we are doing good for even facing the integration so far, yes.
Chitung Liu: So for second half outlook in terms of further cut, again all we can say is while we mentioned earlier that there are different categories of customers. For example, the automotive one may have already started inventory corrections back in 2019. So, we don’t really expect the inventory level for automotive related is too high. However, for those customers who are requiring capacity support, we do foresee in the second half they may show a stronger magnitude in terms of order cuts. And again, we really hope through our customer engagement and more diversify clientele base we should be able to offset some of that if not all.
Gokul Hariharan: Got it, thank you.
Operator: And the next one is coming from Szeho Ng of China Renaissance. Go ahead please.
Szeho Ng: Hi, gentlemen. I just want to ask a question regarding tax. When I look at the Q1 number for the last couple of years actually the company booked a tax credit in Q1 every year. It’s a just coincidence or are there any specific figures behind?
Chitung Liu: I think they always book a little bit higher expenses. So the normal tax rate first and so all the efforts by taking qualified incentive program, et cetera, you get some tax returns and that’s what happened in the first quarter of this year. That is not a norm. Our corporate tax rate here stays around 15% or so.
Szeho Ng: Okay, all right, okay. Second question regarding Q2, you gave up the quarterly guidance, but how would monthly pattern be shaping up, anything you can share?
Chitung Liu: We don’t really see a clear pattern for certain quarter in terms of monthly revenue. No, we don’t have a guidance on that.
Szeho Ng: Okay all right, okay no problem, okay congratulations.
Chitung Liu: Thank you.
Operator: And next we’ll have Sebastian Hou of CLSA for questions. Go ahead, please.
Sebastian Hou: Thank you for taking my questions. My first, I want to follow up on 28-nanometer. So with the improving utilization rate we are seeing gross margin to go up in the second quarter. So, what is the – I wonder what is the outlook for second half this year, your margin versus 28-nano UTR? I wonder whether you expect that the 28-nanometers utilize your rate to continue to go up and likely to reach the full utilization of repo [ph] in second half and if that were to happen, if we assume that all else equal, what’s possible gross margin range UMC can achieve and when that will happen? Thank you.
SC Chien: Sebastian this is a question that I cannot answer okay. So that's area ceramic [ph] for determining our gross margins. And we have seen improvement coming USJC and we also have recovery capacity utilization rate from 28-nanometer and yes we also under this threat of debt cancelation overall broad-based because of the COVID-19.So that’s why we cannot really see through the crystal ball for first half. But for quarter two, we do expect to see further margin expansion based upon better capacity utilization rate and higher contribution from 28-nanometer.
Sebastian Hou: Okay, how about let me ask from another perspective. What’s – or can we assume that most of the revenue growth in second quarter is driven by 28-nanometers majority?
SC Chien: Overall corporate capacity utilization rate goes up to mid 90s through – from 93% in the first quarter and pretty much 8-inchs for – no, 28 is not the only type there. It’s actually a pretty broad-based mainly coming from overall improvement in the capacity utilization rate.
Sebastian Hou: Okay, okay got it. Our second question is on the - I'm not sure you revised or updated the [indiscernible] from [indiscernible]. Can you elaborate again on the 8-inch outlook into second half? Did you say that you will continue to expect a very high - low digit in the second half?
SC Chien: Okay yes. I think we foresee 8-inch utilization to remain poor driven by the solid demand throughout the second half. Anything besides that depends on - here a good in the power MCU and this space related requirement.
Sebastian Hou: Okay so that is already factored in that even with potential older adjustment for some of the customers due to COVID-19 and we still expect that 8-inch to be pretty low?
SC Chien: Yes, that’s how we believe of course [indiscernible] customer waiting for the capacity support.
Sebastian Hou: Okay.
SC Chien: [Indiscernible] to mitigate the impact.
Sebastian Hou: Okay, so we can also interpret that as because most of these customers are pretty concerned with new projects or their maybe their new design order reallocations, so that’s why we are pretty concerned about these orders regardless how macro will change, is that the right way to interpret?
SC Chien: So far yes, so far yes. [Indiscernible] certainty for the second half because of the COVID-19, but so far that's what we see from our data and customer alignment.
Sebastian Hou: Okay got it. My last question is a follow-up on depreciation maybe to Chitung, when do you expect the depreciation starts to unfold more obviously in coming, I mean, I understand that is target for next year, but can you possibly to specify by which quarter for in the first half of next year or potentially by the end of this year we could see that?
Chitung Liu: No. We probably only see low single digit this year, a little more that will happen in 2021. So a majority, the more noted for one will be 2022.
Sebastian Hou: So this year low single digit, next year more than low single digits, but still, but I remember earlier I think the past two quarters you – the guidance was down, going to be down like single or double-digit, I was still looking for that for 2021?
Chitung Liu: I cannot really have confirmed figures for you for 2021, but it will be down.
Sebastian Hou: Got it, okay thank you.
Operator: [Operator Instructions] Thank you. And the next question is coming from Gokul Hariharan of JP Morgan. Go ahead please.
Gokul Hariharan: Yes hi. Just one quick question, could you talk a little bit on how you are thinking about dividend given that we are potentially getting into a bit of a downturn situation, given I think this is probably one of the highest dividend, absolute dividend that you have paid last year of $0.75. Is there any change in policy in terms of thinking about keeping a flattish dividend on absolute basis or are we still going to be sticking to the payout ratio kind of formula?
SC Chien: It’s both. We would like to see continued high dividend payout ratio based upon our earnings and hopefully we can continue to improve our earnings. During this cyclical industries we also want to make sure our shareholders receive certain protection in absolute dividend received. So it depends on which cycle are we in, in terms of dividend. So I think high payout ratio is definitely but a certain minimum potential is also we wish to maintain.
Gokul Hariharan: How should we think about that certain minimum ratio if we think about at average of last two to three years or…?
SC Chien: I really don’t have an answer. All I can say is, we will be trying very hard to have dividend payout. If there is a bad day, we will also try to come out with certain minimum payout. And because of the COVID-19 of course we try to be a little bit financially responsible but not too aggressive in every corporate actions including share buyback. But that probably won’t impact our dividend payout at least for the mid-term.
Gokul Hariharan: Okay, thank you very much.
Chitung Liu: Thank you.
Operator: And the next question is coming from Bruce of Goldman Sachs. Go ahead, please, Bruce.
Bruce Lu: Hi. I have a question about your assumptions for the – funding the industry growth. You guys are doing like 30% year-on-year growth in the first quarter and [indiscernible] is growing like 45% year-on-year in the first quarter and they are guiding for mid-to-high teens. And why is that the foundry growth is only grow by low single digit in 2020, what’s your basic assumption for that?
Chitung Liu: First of all I think the whole semiconductor actually show a decline of mid single digit, and so as an important component of the semiconductor industry it's actually pretty good result already for foundry to continue to show growth and of course this coming from our open marketing department. They are planning all the different views from research, datacenter, as well as customer [indiscernible].So I don’t have a safer way as why we are using this single digit number, but and I also cannot depend on our competitors. All I can see from UMC is that we are – penetrating into new segment through new product wins and so UMC is winning market share. And more importantly so our customer seems to win market share as well. So that’s a combination that why UMC can do slightly better than the industry at least by far as we can see.
Bruce Lu: No I understood. I have no questions about why UMC is able to outgrow the industry, but I thought the industry growth always is a lot lower than the – best expectations and I think that is such pretty big, that’s why we want to know a little bit more detail. Maybe we can follow-up with this, but this is definitely that there is a lot bigger than our expectations.
Chitung Liu: Yes we can certainly follow-up on this with more data we gather from our side.
Bruce Lu: Okay, thank you.
Chitung Liu: Thank you.
Operator: We thank you for all your questions and that concludes today’s Q&A session. I’ll turn things over to UMC Head of IR for closing remarks.
Michael Lin: Thank you everyone for attending this conference today. We appreciate your questions. As always, if you have any additional follow up questions, please feel free to contact UMC at umc.com. Have a good day.
Operator: Thank you. And ladies and gentlemen, that concludes our conference for first quarter 2020. Thank you for your participation in UMC's conference. There will be a webcast replay within an hour. Please visit www.umc.com under the Investors Event section. You may now disconnect. Goodbye.